Muneaki Tokunari: This is Tokunari, CFO. I would like to thank you for your precious time despite your business schedule to attend our financial results briefing. Today, I would like to report on our first quarter results as well as our forecast for the full year. Allow me first to explain the first quarter results. Revenue was JPY158.1 billion. Operating profit was JPY3.2 billion. Profit attributable to owners of parent was JPY2.5 billion. Though revenue grew, but profit declined. So in terms of profit, we had a rather slow start. First, revenue was up JPY12.5 billion. We had a good performance in Imaging Products business and Healthcare business. Revenue from SLM Solutions in Germany, a Metal 3D Printer and Manufacturer that became a consolidated subsidiary in the fourth quarter of the previous year, also contributed to the increased revenue. On the other hand, operating profit and profit attributable to owners of the parent declined mainly due to the impact of lower sales of highly profitable FPD Lithography Systems and EUV-related components as well as increased expenses associated with the acquisition of SLM Solutions. In the yellow box on Slide 4, we show the main consolidated numbers for the first quarter. And to its right, we show the change year-on-year. Though revenue was up by 8.6%. All profit items, which were firm in the previous year were down more than 70%. Free cash flow, as described in the text in the bottom, improved JPY2.5 billion year-on-year, thanks to the increased advances received and the sale of investment securities. Slide 5 shows performance by segment in the first quarter. In the yellow box, the top number in each segment is revenue, and the bottom is operating profit. Year-on-year basis, while Imaging Products business and the Healthcare business with good sales grew both in revenue and profit, but Precision Equipment business and the Components business declined both in revenue and profit. Now allow me to go through the actual first quarter performance by segment, starting from Imaging Products business. First, Imaging Products business, revenue was JPY74.4 billion, up JPY13.2 billion year-on-year. Operating profit was JPY15.3 billion, up JPY1.7 billion year-on-year. Sales of mirrorless cameras were strong, particularly, Z 30, launched in July last year and, Z 8, launched this May. Average selling price rose due to the shift towards mid to high-end cameras, revenue grew significantly, up 21% year-on-year. Operating profit margin following the previous year shows more than 20%. Slide 7 shows Precision Equipment business. Revenue was JPY37.3 billion, down JPY4.1 billion year-on-year. Operating profit was negative JPY3.6 billion, down JPY7.5 billion year-on-year. As in the Components business, which will be explained later, this business was affected by the deteriorating semiconductor market. To be exact, highly profitable service revenue declined significantly due to the lower utilization of Lithography Systems at semiconductor manufacturers who are our customers. Also, sales of FPD Lithography Systems were limited to 2 units, down from 7 units in the previous year as this fiscal year happens to be the bottom of the LCD panel business cycle. In addition, high R&D and other expenses also contributed to the year-on-year declines both in revenue and profit. Slide 8. Healthcare business remained strong with higher revenue and profit year-on-year. In Life Science, sales of biological microscopes were strong in North America and China, and Eye-Care Solutions were firm in sales of retinal diagnostic imaging systems in North America. Slide 9 shows Components business. Components business has been growing rapidly over the past several years. But in the first quarter, both revenue and profit declined year-on-year. In EUV-related components, due to the production adjustments by customers, delivery of some products was postponed to the second quarter or later. In addition, demand for some consumables such as optical parts for light sources declined due to lower equipment utilization at semiconductor manufacturers. Sales of optical parts and optical components other than EUV-related products fell short of the plan. Slide 10 shows Digital Manufacturing business. This segment consists of Industrial Metrology business and the newly created ADM, Advanced Manufacturing business. Revenue for Industrial Metrology business was flat year-on-year, but thanks to the sales contribution by SLM Solutions, which became a consolidated subsidiary in the ADM business. On the other hand, operating profit posted a loss due to SLM Solutions amortization of intangible assets and onetime acquisition-related expenses as well as upfront investment costs in the Industrial Metrology business. Next, I would like to explain our focus going forward. The upper part of the slide shows the forecast for the first half and the bottom shows the forecast for the full year. The overall picture is that in response to the weak first quarter results, we have revised down the first half forecast, but we have unchanged our full year forecast for operating profit and the profit attributable to owners of parent. Please refer to the top half of the page. Revenue for the first half is now revised downward by JPY10 billion and both operating profit and profit attributable to owners of parent are revised downward by JPY5 billion. Imaging Products business in light of the firm performance in the first quarter, revenue and operating profit are revised upward by JPY10 billion and JPY3 billion, respectively. Precision Equipment business revised downward by JPY15 billion in revenue and JPY5 billion in operating profit due to the expected lower service revenue and the postponement of some system installations into the second half of the year. In the Components business and the Digital Manufacturing business, due to the postponed installations of some of the products into the second half of the year, we revised downward the first half revenue and operating profit, as shown in this presentation material. Next, as for the forecast for the full year, we have revised revenue upward by JPY5 billion to JPY670 billion as the increase in revenue from the Imaging business is expected to exceed the downward revision in the Precision Equipment business. Operating profit is revised downward by JPY3 billion for the Imaging Products business and downward by JPY3 billion for the Precision Equipment business. Operating profit for the entire company is JPY43 billion, unchanged from the last forecast. Profit attributable to owners of parent is JPY35 billion, unchanged from the previous forecast. As for the exchange rate from the second quarter onward, unchanged from the previous forecast, JPY130 to the U.S. dollar and as for the Europe, JPY145, Japanese yen depreciated by JPY5. Slide 13, please. This shows a list of key figures for the full year forecast. Please look at the far right showing the change from the last forecast. As has been already explained, only revenue has been revised upward by JPY5 billion, while profit items and the dividend forecast remain unchanged from the previous forecast. Slide 14 shows full year forecast compared with the May forecast we made last time. As you see, this table shows the first half and second half separately. The profit items are revised downward by JPY5 billion for the first half and upward by JPY5 billion for the second half, resulting in unchanged forecast for the full year. Please proceed to Slide 15. This shows the full year forecast by segment, together with year-on-year and the previous forecast comparison. As shown on the far right, compared to the previous May forecast, we have revised the operating profit focus for Imaging Products business by JPY3 billion and Precision Equipment business downward by the same amount. In the yellow box on Slide 16, we show the first half and the second half forecast by segment. We have revised our forecast for the first half and the second half to reflect the situation that delivery of semiconductor lithography system in the Precision Equipment business and EUV-related components in the Components business will be delayed from the first half to the second half due to customers' requests in the wake of the sluggish semiconductor market. The fourth line from the top shows that operating profit for Precision Equipment business being JPY2 billion in the first half and JPY10 billion in the second half. Components business showing JPY6 billion in the first half and JPY14 billion in the second half. We are forecasting both businesses and have a concentration of profits in the second half. I will now explain the full year forecast for each segment. First, Imaging Products business. Based on the strong first quarter, we have revised our forecast for the digital camera market more aggressively than we assumed at the beginning of the fiscal year, specifically as stated in the lower left of the document for Digital Camera-Interchangeable Lens type, we have revised upward the full year market size to 5.8 million units, up 300,000 units year-on-year. For Interchangeable Lens, we have revised upward 200,000 units to 9.4 million units. So we have revised upward to the same level as the previous year, respectively. We have increased our sales volume forecast in light of the firm sales of Z 8 and other new products, particularly in the first half, camera bodies up 7% to 750,000 units, up 50,000 units year-on-year. As for Interchangeable Lenses, up 4% or 50,000 units to 1.2 million units. Due to the upward revision of sales volume and other factors, the revenue forecast has been raised by JPY10 billion from the May forecast to JPY250 billion. Year-on-year basis, we expect a 10% increase in revenue due to an increase in average selling price in addition to the increased sales units. Operating profit is now up JPY3 billion from the previous forecast. While the first half results are expected to be strong. The operating profit forecast remains unchanged because expenses to strengthen sales and R&D expenses are expected to increase in the second half as the supply-demand balance normalizes. Slide 18 shows our forecast for Precision Equipment business recently due to the global slump in the semiconductor market and inventory adjustments on the customers' site. The utilization rate of our Lithography Systems at customers' manufacturing site has been declining. As a result, we expect the downturn in the Service business and the Semiconductor Equipment business to continue in the second quarter and beyond. Reflecting this, we have lowered our revenue forecast by JPY5 billion from the May forecast to JPY205 billion. As shown in the lower left, we have not changed our previous forecast for unit sales of FPD and Semiconductor Lithography Systems, but we expect a delivery of such equipment to be pushed back to the second half of the year due to customers' requests. Operating profit for the entire Precision Equipment business is now down JPY3 billion from the May forecast to JPY12 billion, mainly due to lower Semiconductor and Service revenue. As explained earlier, the breakdown of JPY12 billion, JPY2 billion in the first half and JPY10 billion in the second half. Here, allow me to explain about the recently announced export restrictions on advanced semiconductor manufacturing equipment. We believe its impact on our performance is going to be rather limited. The Ministry of Economy, Trade and Industry meeting has also said that as long as there is no concern about military diversion, business can proceed as usual. Nikon intends to proceed with business by following the appropriate export procedures. Although ArF Immersion Lithography Systems fall under the export control items, but we believe that the new NSR-S625E, which we announced in May this year is for middle critical layers and can be exported to China and other countries. Next, please look at Slide 19. Here now I'd like to explain Healthcare business. The first quarter results were favorable, and our full year forecast remains unchanged from the May forecast of JPY95 billion in revenue and JPY11 billion in operating profit. Slide 20. This is Components business. Revenue being JPY53 billion, operating profit being JPY20 billion. We maintain our May forecast for this segment as well. However, due to the production adjustment by semiconductor-related customers, deliveries of EUV-related components and some optical parts and optical components will be shifted from the first half to the second half. So operating revenue is expected to be JPY6 billion in the first half versus JPY14 billion in the second half. Slide 21 is Digital Manufacturing business. In this business segment, both revenue and operating profit for the full year remain unchanged from the previous forecast. In the Industrial Metrology business, due to the business slowdown in the semiconductor and the electronics components, some product sales will be shifted from the first half to the second half, but there is no change as for the full year forecast. Revenue is expected to be JPY64 billion, driven by full year contributions coming from SLM Solutions, which was acquired in the previous fiscal year. Operating revenue, on the other hand, is expected to be a loss of JPY9 billion for the entire business as the newly established Advanced Manufacturing business, ADM business, will start the year with operating loss. By the way, SLM Solutions announced yesterday, in Germany, its annual financial results for January through June period, showing a steady expansion of its business with both orders and sales growing approximately 20% year-on-year. That's all for now. But to summarize the financial results for the first quarter, although the company-wide revenue exceeded that of the previous year, but an operating profit and profit attributable to owners of parent got off to a slow start by segment. Imaging Products business and Healthcare business started the quarter better than planned. But on the other hand, Precision Equipment business and the Components business started the quarter below the plan due to the impact of the sluggish semiconductor market, which resulted in the postponed sales of some products. From the second quarter onward, we expect that Imaging Products business and the Healthcare business will do well, while the Precision Equipment business and the Components business continue to be affected by poor semiconductor market, and we believe uncertainties are going to continue. While finally managing risks, we will strive to achieve our goals of JPY43 billion in operating profit and JPY35 billion in profit attributable to owners of parent. Nikon plans to hold an IR Day on September [28]. Healthcare business now generating more than JPY10 billion in operating profit has grown into a major profit pillar. Advanced Manufacturing business is now expected to grow, including the acquired SLM Solutions. General managers from each business division will explain in details. We also plan to report on our sustainability strategy and have an independent outside director speak on corporate governance. Finally, Nikon's stock price book value ratio going above 1x in June and even currently being traded at around 1x. And we understand that the current stock price is formed based upon medium- to long-term growth expectations, we are getting from the capital market. In order to live up to these expectations, we will inject necessary resources for the future even in the semiconductor business, which may fluctuate in big waves, and we will continue to diversify our customer base and businesses while firmly accompanying our customers. We like to solicit for your continued understanding and support of our shareholders and investors. And thank you very much for your kind attention.
End of Q&A: